Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Paramount Group First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Please note that this conference is being recorded today, May 4, 2023. I will now turn the call over to Tom Hennessy, Vice President of Business Development and Investor Relations.
Tom Hennessy: Thank you, operator, and good morning, everyone. Before we begin, I would like to point everyone to our first quarter 2023 earnings release and supplemental information, which were released yesterday. Both can be found under the heading Financial Results in the Investors section of the Paramount Group website at www.pgre.com. Some of our comments will be forward-looking statements within the meaning of the federal securities laws. Forward-looking statements, which are usually identified by the use of the words such as will, expect, should or other similar phrases are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Therefore, you should use caution in interpreting and relying on them. We refer you to our SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial condition.  During the call, we will discuss our non-GAAP measures, which we believe can be useful in evaluating the company’s operating performance. These measures should not be considered in isolation or as a substitute for our financial results as in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available in our first quarter 2023 earnings release and our supplemental information. Hosting the call today, we have Mr. Albert Behler, Chairman, Chief Executive Officer, and President of the company; Wilbur Paes, Chief Operating Officer, Chief Financial Officer, and Treasurer; and Peter Brindley, Executive Vice President, Head of Real Estate. Management will provide some opening remarks, and we will then open the call to questions. With that, I will turn the call over to Albert.
Albert Behler: Thank you, Tom, and thank you, everyone, for joining us this morning. It hasn’t been long since we last spoke, but we are excited to share our progress as we are off to a good start so far in 2023. We have seen strong year-to-date execution by our leasing team. Before I dive into our overall results, let me touch upon the ongoing situation with First Republic, which currently occupies approximately 460,000 square feet at One Front Street in San Francisco. On May 1, FDIC took control of First Republic and JPMorgan Chase subsequently acquired the majority of the assets. Many of the details regarding the transaction remain unknown. To date, First Republic remains current on its rent payments and its offices remain open, but we are watching this closely as I’m sure all of you are. Robert will review the financial impact of First Republic in greater detail.  Yesterday, we reported core FFO for the first quarter of $0.26 per share, $0.03 ahead of the Street consensus. In the first quarter, we leased over 195,000 square feet, which is in line with our first quarter leasing from prior years. We also reported year-over-year same-store growth of 7.1% on a GAAP basis and 0.1% on a cash basis. As a result of our strong first-quarter earnings, we are raising the lower end of our full-year 2023 core FFO guidance to be $0.01 higher at the midpoint, which is now $0.92 per share compared to the previous midpoint of $0.91 per share. Wilbur will also review our financial results and guidance in greater detail. The larger leases, which we mentioned on our last couple of calls, we’re taking longer to execute, have started to come through as illustrated in our first quarter results. We were happy to announce the 119,000-square-foot lease we signed at 31 West 52nd Street and with Wilson Sonsini, an international law firm. This leads meaningfully derisked our largest 2024 roll by approximately 30% and was the largest new lease signed in Manhattan during the quarter.  Our New York portfolio continues to perform well, a strong indication of the steady return to the workplace, which we highlighted on our last call. The significant lease we signed during the quarter is a testament to the strength of our Class A assets and high-quality, well-located buildings can outperform in a challenging environment. While we are seeing a lot of touring activity and we continue to take more than our fair share of leasing environment remains challenging. However, there are some signs for optimism as the Metro North recently announced that they are recording pre-pandemic-era ridership and 74% of the pre-pandemic average. This positive trend is a good sign that the commuters are slowly returning to the city for work. While the San Francisco portfolio continues to lag New York City, the activity on the streets of San Francisco has become more vibrant now than it was 3, 6 or 12 months ago.  And our San Francisco office utilization figures have been consistently rising. Our centrally located San Francisco portfolio continues to attract high-quality tenants. During the quarter, we signed a 77,000-square-foot lease at Market Center in San Francisco with Waymo, a subsidiary of Alphabet. We believe this transaction demonstrates the quality of the assets and the ability of our team to meet the objectives of the most discerning clients. Similar to the previously mentioned lease with Wilson Sonsini in New York, our lease with Waymo was the largest new lead signed in San Francisco during the first quarter. Clearly, both portfolios continued to benefit from a key advantage in each market, namely the flight to quality. In addition to well-located Class A assets, part of the appeal to the highest quality tenants includes our market-leading efforts with ESG. We were proud to announce that we achieved the 2023 Energy Staff Partner of the Year Award from the EPA and Department of Energy.  For the second consecutive year, we were recognized among a network of thousands of participants as a leader in the sustainability space with performance within the top 25% for energy efficiency. This achievement is on top of the one we recognized in 2022 as we achieved energy star labels across 100% of our office portfolio. Anticipation in the Energy Star program is not only integral to our mission as a responsible owner, but also to our tenants who partner with us in initiatives that reduce both our carbon footprint and operating expenses. ESG matters to us and our tenants, and it will remain a key focus for us. Turning to the transaction market, activity remains muted. Rising interest rates, availability of debt capital, and volatile equity markets continue to keep buyers at bay and sellers evaluating when conditions will improve. There have not been many quality assets that have come to the market. And for those that have the bid-ask spread remains wide. That said, there are significant debt maturities on the horizon, which will certainly present opportunities for well-capitalized firms like Paramount. We will be strategic and disciplined in allocating capital as we always have. Let me conclude by saying we approach our business with a long-term mindset. Our Class A buildings and the coastal gateway markets in which we operate are resilient. They have constantly evolved and grown over decades and over many economic cycles. With that, I will turn the call to Peter.
Peter Brindley: Thanks, Albert, and good morning. During the first quarter, we leased approximately 196,000 square feet. Our first quarter leasing activity was weighted towards New York with 119,000 square foot leased powered by the lease we signed with Wilson Sonsini at 31 West 52nd Street. As Albert mentioned, this lease, which was the largest new deal completed in Manhattan during the first quarter, reduced our portfolio’s most significant 2024 lease expiration by approximately 30%. We are delighted to further expand our relationship with Wilson Sonsini, who has chosen to double the size of their footprint in New York through the signing of this lease. In San Francisco, we completed the market’s largest new lease of the quarter with the signing of Waymo at 555 Market Street. Waymo will lease approximately 77,000 square feet in the base of the building on [indiscernible]. This lease reduced our portfolio’s largest remaining 2023 lease expiration and more than 30%.  Despite operating in a challenging market environment, we continue to make progress on our business plan, as evidenced by our first-quarter results. Companies have become increasingly focused on pursuing assets with the highest quality managers and stable ownership. We remain laser-focused on delivering exceptional services throughout our high-quality portfolio and capturing more than our share of demand. And while companies have exhibited caution during the current economic slowdown, we remain encouraged by the ongoing return to office trend and companies increasing desire to locate in the best buildings in our two markets. These trends are encouraging, and we expect them to result in increased leasing activity when the economic conditions recover. At quarter end, our same-store portfolio-wide leased occupancy rate at share was 89.8%, down 150 basis points from last quarter and down 80 basis points year-over-year. As we look ahead, our remaining lease expirations are manageable of 2.3% or approximately 181,000 square feet at share expiring by year end. Turning to our markets, Midtown’s first quarter leasing activity of approximately 2.5 million square feet, excluding renewals, was down 2% quarter-over-quarter and down 30% below the 5-year quarterly average. Availability in Midtown remains elevated at 18.5% and absorption was negative during the first quarter as large block space additions exceeded below-average leasing activity. Despite the challenging supply/demand environment, Midtown’s highest quality real estate in the most well-located submarkets remains active. We are encouraged by the level of interest in our largest availabilities at both 1301 Avenue of the Americas and 31 West 52nd Street and we will aim to build on the success we had in 2022 and in the first quarter of 2023 at both properties. We look forward to updating you on our progress over the balance of the year. Our New York portfolio is currently 90.2% leased on a same-store basis at share, down 190 basis points quarter-over-quarter and down 60 basis points year-over-year, largely as a result of the known lease expiration of Credit Agricole at 1301 Avenue of the Americas. During the first quarter, we leased 119,000 square feet at a weighted average term of 16.5 years with an initial rent of $81 per square foot. Our overall lease expiration profile in New York is manageable at 0.6% or approximately 31,000 square feet at share expiring by year end. Turning now to San Francisco. Leasing activity remains muted as companies contend with macroeconomic headwinds. Despite these well-known challenges, we have seen an uptick in active requirements in the market since year-end, including from leading AI companies. We have also witnessed the ongoing return-to-office announcements from leading companies as many continue to reestablish workplace policy, and we expect this trend will continue. The result has been increased utilization within our own portfolio, which will support increased leasing when the economy recovers. Despite San Francisco’s elevated availability rate, the market for premier assets remains tight and economics, particularly for this space and trophy assets remains strong, similar to New York, flight to quality movement that continues in San Francisco, resulting in an ongoing bifurcation of the market. At quarter end, our San Francisco portfolio was 88.7% leased on a same-store basis at share, down 20 basis points quarter-over-quarter and down 140 basis points year-over-year. During the first quarter, we leased approximately 77,000 square feet, a weighted average term of 5 years with an initial rent of $85 per square foot. Looking ahead, our San Francisco portfolio has 7% or approximately 150,000 square feet at share expiring by year-end. The majority of our 2023 lease roll will occur at Market Center when Uber’s lease expires in July. We look forward to building on our most recent success in Market Center and providing updates on our progress. With that summary, I will turn the call over to Wilbur, who will discuss the financial results.
Wilbur Paes: Thank you, Peter, and good morning, everyone. I will start off my prepared remarks by covering the details of our first quarter results, followed by a quick discussion of our balance sheet, and end with an update on our 2023 earnings guidance. Yesterday, we reported Core FFO of $0.26 per share, which was ahead of consensus estimates and our own internal estimates. Same-store growth was up 7.1% on a GAAP basis and 0.1% on a cash basis. The positive same-store results were driven by our San Francisco portfolio, which was up a robust 10.9% on a GAAP basis and 1.9% on a cash basis. Our New York portfolio was up 5.4% on a GAAP basis and down 0.7% on a cash basis as expected, primarily due to the scheduled expiration of Credit Agricole’s 305,000-square-foot lease at 1301 Avenue of the Americas. Although I should point out that the full impact of this expiration on our same-store results won’t be felt until the second quarter because Credit Agricole’s lease expired at the end of February. And as such, we had revenue for the 2 months in the first quarter. During the first quarter, we completed 195,634 square feet of leasing at a weighted average starting rent of $82.21 per square foot and for a weighted average lease term of 13 years. Mark-to-markets on 143,882 square feet of second-generation space was positive 0.9% on a GAAP basis and negative 1.9% on a cash basis. Now to our balance sheet, our liquidity position remains strong and amounted to over $1.2 billion at quarter end. We have $463 million of cash and restricted cash at share, which was up $11 million from the prior quarter, and we have the full $750 million of capacity under our revolving credit facility. An underappreciated yet tremendously important fact about our balance sheet is that all of our debt is secured and is non-recourse. During the quarter, we executed short-term extensions on two mortgage loans on JV assets, 60 Wall Street and 111 Sutter Street, at terms that were substantially similar to that of the maturing debt.  Outstanding debt at quarter end was $3.67 billion at a weighted average interest rate of 3.58% and a weighted average maturity of 3.8 years. 87% of our debt is fixed and has a weighted average interest rate of 3.26%. The remaining 13% is floating and has a weighted average interest rate of 5.8%. We have under $85 million of debt at share maturing in 2023 and $585 million are maturing in 2024. Turning now to our 2023 guidance, based on our first quarter results and our outlook for the remainder of the year, we are increasing our Core FFO guidance to be between $0.90 and $0.94 per share or $0.92 per share at the midpoint. This is up $0.01 per share compared to our prior guidance. While we continue to expect same-store growth to be negative in 2023, driven by known move-outs of Credit Agricole in New York and Uber in San Francisco, we are expecting a 50 basis point improvement in our same-store results on both a GAAP and cash basis. Same-store GAAP NOI growth is now expected to be between negative 1% and negative 3%, while same-store cash NOI growth is now expected to be between negative 3% and negative 5%. Let me close out my remarks by spending a couple of minutes on the impact of First Republic on our financial results and guidance. Our 2023 guidance assumes that First Republic continues to honor its obligations under our lease agreements, and we continue to recognize rental revenue in accordance with GAAP through year-end. As a reminder, First Republic currently leases 460,726 square feet of space at One Front Street in San Francisco. It accounts for approximately $43 million or 6.4% of our annualized rent at share and represents about 520 basis points of our leased occupancy at share. First Republic remains current on its rent and we have already received Maze rent. We recognize about $3.5 million a month in GAAP rental revenue, which we will continue to do until facts and circumstances change, indicating that election of rent is not probable. As of March 31, we have a straight-line rent receivable asset on our balance sheet of slightly over $19 million. We will continue to monitor the situation closely and update you accordingly. With that, operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question today will come from Steve Sakwa of Evercore ISI. Please go ahead.
Steve Sakwa: Thanks. Good morning. Thanks for the detail on First Republic. I realize it’s a pretty fresh situation. I just don’t know if you have any sense as to kind of what the legal precedent is given sort of the FDIC seizure and the ultimate sale to JPMorgan. I know this isn’t like a typical bankruptcy. So do you have any sense for how this kind of ultimately plays out or gets resolved?
Albert Behler: Well, Steve, good morning, this is Albert. It’s still very early. From what we understand, JPMorgan now has about 60 days to decide what space, if you’re talking about the real estate part, I guess, and that’s what I’m referring to. 60 days’ time to figure out what space they would like to reject or accept and we have had first calls, but it’s way too early to talk about it. And you know that one front is the premier asset that they occupy in San Francisco, and we think that most of the space will stay in place, but it’s way too early to really predict anything else.
Steve Sakwa: Great. Thanks. And then maybe, I guess, one for Peter. I see you’ve derisked a little bit of the Uber space with the Waymo deal. And I think you had talked on the last call about having some deals in the hopper for that space. So I presume Waymo was one of them. But just maybe what other activities are you seeing in San Francisco for this near-term expiration?
Peter Brindley: Yes. I think, Steve, this won’t come as a surprise. We’re dealing with a challenging environment in San Francisco. The market is challenged. We saw light leasing velocity in the first quarter. That being said, we are seeing a notable not only return to office. We are seeing a significant increase in utilization. We feel really good about that. But we’ve also seen an increase in tenant demand, call it, over the last 4 to 6 weeks. It’s not where we would all like it to be, but it has increased, and as you would expect, tenants who are more discerning than ever are focused on higher-quality real estate with high-quality managers with stable ownership. So to answer your question specifically, we do have activity. We, of course, are working to further de-risk that role, which will get back later this year. Nothing more I can share specifically at this point. The building shows very well. It’s very well located. And of course, both brokers and tenants are well aware of the opportunity and certainly Paramount. And so we look forward to updating you on future calls, but I don’t have anything more specific to say today other than we feel okay about the level of interest.
Steve Sakwa: Okay. And last one for me. Just Albert, you sort of talked about maybe potential investment opportunities. I realize that leverage and net debt-to-EBITDA might be well on the higher end of what the market is comfortable with right now. And I don’t think you bought back stock in the quarter, but how are you and the Board thinking about new investment opportunities in office, which remain challenged against share buybacks as an alternative to new investments?
Albert Behler: Very good question, Steve. I mean, we have a history of being opportunistic and – but also very disciplined. And I said on the last calls already, it will be very, very careful with spending our own equity on any future acquisition. So that said, I think the market currently has a lot of bid-ask spreads. So there will be development for opportunities. We have relationships. As you know, that go back for quite some time. And as we did in the past when we acquired the M&M building, 1600 Broadway, the company didn’t invest a lot of its equity, but there was an investor group that love the exposure. And actually, it’s performing very well for them, and they are very happy with that investment. When we have a situation like that, a lot of – especially foreign investors who are looking to have boots on the ground who have an experience – looking for an experienced team that knows leasing and property management and asset management, and those are the kind of potential investors we would be talking to if the opportunity arises.
Steve Sakwa: Great. Thanks, that’s it for me.
Albert Behler: Thank you.
Operator: Our next question will come from [indiscernible] of Bank of America. Pleas go ahead.
Unidentified Analyst: Hi, good morning. Just starting with capital markets, there has been a lot of debate and strong opinions around whether or not landlords should be handing back keys if one can’t come to terms with their lenders. How do you think about this as one of your options and what are the positive and negatives of taking that approach in your view?
Albert Behler: Well, you have heard from Wilbur’s remarks that our debt is basically non-recourse to the company. We are evaluating each case on a case-by-case basis. We are not currently in a position to share a lot of detail. I think it really depends. We also have good relationships with our lenders over a decade. And I think it’s – the lenders have to face reality that they need someone who understands real estate. You’re talking about giving back keys. It’s not an easy thing for both parties. So we have in the history of Paramount, never done this so far, but we can evaluate and re-evaluate this on a case-by-case basis. But our debt and maybe Wilbur can go into more details, it’s pretty spread, and we have the – we are in the good position that we have a lot of long-term debt. About 87% of our debt is staggered over a couple of years. So we will look at each case on a case-by-case basis.
Wilbur Paes: Sure. I mean the only thing I would add, Kamil, obviously, that is a tool in the toolbox. It’s the reason you have non-recourse debt, right? It’s the ability to be able to do that if it doesn’t make economic sense for you to continue to operate that asset and we evaluate that, as Albert said, on a case-by-case basis. You saw this quarter, we extended short-term a couple of our JV loans. And it’s a market where everybody is going to have some pain. There is going to be a lot of workouts across operator groups. And from our vantage point, lenders do want to work with landlords that have the knowledge and the wherewithal to be able to come out of this crisis. And so we will have those discussions. They will be tough, but they have to be mutually beneficial to both parties.
Unidentified Analyst: Thank you for your responses. One Market Plaza has been one of the best-performing assets within your portfolio. And I know we’re still a bit far out, but Visa, who leases quite a large amount of space recently announced that it plans to sublet at One Market Plaza before ultimately relocating to its new HQ in Mission Bay. There seems to be a similar trend to Uber’s decision to vacate their offices around Market Street. Just wondering if you could share your views about the competitiveness of Market Street or core CBD San Fran for trophy demand with these large supply headwinds and how PGRE strategy fits in this context?
Albert Behler: Well, I wouldn’t say that there is a large supply headwind there. When we bought Market Center, we knew that Uber was moving out, and that was from the beginning, very clear, they had work on their headquarters already when the asset was purchased with One Market Plaza. This is something the lease expires in 2026. So there is a lot of time between now and 2026. This is arguably one of the best, if not the best leased building in San Francisco. And even in this market, Peter and his team have done a fantastic job in many cases, leasing space at over $100 a square foot. And there have been, in one case, recently, there was a competition on – between two tenants to get the same floor. So we will tackle it in time. It’s a space that’s normally in good demand, and we will tackle that over time. I don’t think that’s a trend because of Uber and with are making that decision.
Unidentified Analyst: And a follow-up question for Wilbur. Do you see this recent announcement impacting your ability to refinance the mortgage loan coming due in 2024 at similar terms?
Wilbur Paes: No. I mean one, I don’t – similar terms, that current debt comment is at 4%. You’re not going to see 4% money on any building in New York City or in San Francisco. So I don’t know if similar terms, is the right terminology here. I don’t expect any issue with refinancing that asset. That asset is arguably one of the best assets as great tenancy. We’ve had a history of capturing way more than our fair share of demand in the market flocking to that asset. It has very good coverage, and it has terrific sponsors between Paramount and Blackstone.
Unidentified Analyst: Thank you for taking my questions.
Operator: Our next question today is from Blaine Heck of Wells Fargo. Please go ahead.
Blaine Heck: Great. Thanks. Good morning. Just to piggyback on some of the earlier questions on some of those loans that you executed extensions on 60 Wall and 111 Sutter, were you or your partners required to make equity infusions in connection with those extensions?
Albert Behler: So no, let me take each loan by itself. 60 Wall, as you know, is a project that is currently under development. That loan was scheduled to mature in February. We extended short-term for a year on the same terms, no equity infusion yet. We continue to negotiate with the lender. Recognized for us, we are 5%. So we have a view – our partners have a view, and we’re having discussions with the lender group right now. When you look at our balance sheet, at share, 60 Wall is about $29 million of debt on our balance sheet which has zero EBITDA. It’s a non-income-producing assets. So it turns out that we don’t come to a mutually agreeable solution that will come off our balance sheet, and it will improve metrics.
Peter Brindley: And let me add on that. We have Blaine, we have – the joint venture is available and is willing to invest hundreds of millions of dollars to renovate that asset. And I think the lending group knows that it’s not something that is not seen by them. So it’s a matter like Wilbur said, we have to come to terms that makes sense for both parties. Nobody would invest hundreds of millions of dollars to renovate an asset. If it’s not also a good investment for the future for you, know the term not throwing good money after bad money that has to be evaluated.
Albert Behler: And then on 111 Sutter, that debt came due in March. We have extended that through May of ‘24. It’s under the same terms, but we are not going to be putting any capital in that. So essentially, that’s a cash flow loan. We came to agreement with the lender group that we’re not going to invest. We and our partners are not going to invest any capital from our balance sheet to be able to move forward on that project. That asset continues to remain challenged. Peter talked about the market being challenged. That asset is 56% leased. And so we have a cash flow loan that we will pick up our share of the shortfalls in our earnings, but it will be picked to the principal balance. And as you know, we’ve already written off our investment in that asset last quarter. So we’re going to see how that develops, how the market develops in a year from today, protecting our balance sheet by not investing our own capital into it. And then we will reassess a year from today.
Blaine Heck: Great. Very helpful color from both of you. Thank you. Second question, can you guys give us any color on the Wilson Sonsini lease and where that rent is relative to what Clifford Chance is paying and maybe what the concession package look like on that lease from both a TI and free rent perspective?
Albert Behler: Sure. I mean interestingly enough, ordinarily, we would not give that, but the reality is we had that lease in New York, and it shows up in our staff. That was 119,000 square-foot lease. You saw the initial rent on that deal was $81 a foot, mark-to-market relative to the Clifford Chance place, I think we said 92,000 square feet served to de-risk the Clifford Chance space. The remainder of it really was occupancy increasing because it serves to absorb a vacant former TD Bank floor. So on the 92,000 square feet, you saw the mark-to-market was negative 3.6%. So the stats are published in our leasing results, Blaine.
Blaine Heck: Great. That’s helpful. And then just generally, can you talk a little bit about how higher interest rates have impacted the competitive landscape with regard to TIs? I assume some landlords are kind of less willing to spend on TIs based on their higher cost of capital. So how does that play out with respect to free rent increasing or lower base rates? And how do you think PGRE can differentiate itself to compete in that environment?
Peter Brindley: Blaine, this is Peter. I think in many respects, it shrinks the market in terms of buildings that can compete given the environment that we’re functioning within. I don’t think we’ve seen a significant uptick in concessions. They are already at historical levels. But I think brokers and prospective tenants are extraordinarily mindful in terms of who they are about to transact with and want to ensure that the owner is well-capitalized and able to deliver on the commitment. I’m actually seeing it in a deal that we were able to influence on our direction because – and I know this to be true, that tenant had considered a building where they were concerned about that owner’s ability to execute and transact ultimately. And so we’re seeing it play out real-time, and we think it inures to our benefit in the end.
Albert Behler: In essence, the flight to quality term has broadened, it does not only apply to the asset quality that applies to the landlord quality.
Blaine Heck: That’s very helpful. Thank you all.
Albert Behler: Thank you.
Operator: Thank you. Our next question today will come from the Vikram Malhotra of Mizuho. Please go ahead.
Vikram Malhotra: Thanks for taking the question. Just to sort of stick to San Francisco and some of the larger leases. I know this is 2 years out, but wondering if you have had any early concessions with Google on their lease there obviously in process or will be building a bigger campus down the road? And I am assuming tech is generally consolidating. Any conversations or early conversations you may have had on Google?
Albert Behler: Hi Vikram, this is Albert. It’s I think too early to talk about any or give predictions on what tenants are going to do. And I would say San Francisco is behind on coming back to the office work. Here in New York, it’s really stabilizing dramatically over the last – I mean dramatically in a positive way substantially in the last, I would say, couple of months. We are now talking from 1633 Broadway. We are in most days, back to 75% occupancy. That is – and that means people in the office. That is still different in San Francisco. However, San Francisco has been – the increases have been more drastic than in New York over the last couple of months. And we also have developed through one of our funds, the condominium tower that sits right on the waterfront at Embarcadero. And it’s arguably the best condominium tower in San Francisco. And I could say it was relatively quiet for the last 12 months with regard to sales. But now sales have picked up and interest has picked up significantly over the last six weeks or so, and we are making deals. So, 2 years from now is a lifetime in these kind of markets. So, they will determine stay alive till ‘95 at one time by Sam is out, I would call it stay alive till ‘25. That’s a new one. So, you have to be a little patient. Things are changing dramatically, very quickly.
Vikram Malhotra: No, that’s fair enough. Just talking about ‘25, I guess, Wilbur, if we look at all the moving pieces you have just outlined, clearly, there is still work to be done in terms of re-leasing. Do you mind just updating us on thoughts how you think about dividend coverage? Some of your peers have decided to postpone or cut the dividend and potentially exploring future cash or stock payouts. And I am just wondering how you are thinking about the dividend here, given the yield and what you are seeing in terms of cash flow.
Wilbur Paes: The dividend is something – is a policy that gets decided by the Board, and we are talking about this on a quarterly basis, Vikram. And we are looking at this, especially in these kind of times very, very carefully. I will ask Albert to give more details, but that’s something where management is putting their heads together and then recommending things to the Board. And I think it’s too early to say what the company is planning here.
Albert Behler: Yes. No, I believe it is exactly right. I mean we continue to discuss this – we will come at the Board. It’s not lost on us what is happening in the market where our stock is, where our peer stock is. We have seen the actions they have taken. Some have done it more than once. So, we continue to evaluate. We recognize our profile. We recognize that the stock is not trading on the dividend yield today. And so more to come on that. We will continue to discuss, and more to come.
Vikram Malhotra: Okay. And then just one bigger picture question, I guess Albert, you referenced the improvement in traffic in New York and the recent months San Francisco improving as well. There have been some workouts, other players have handed back keys on the private side. So, I am just wondering from – if things are sort of inflecting, I am trying to wonder what things you are monitoring that would sort of make Paramount want to go on offense in terms of whether it’s value add or other types of buildings in your core markets. What are the things you are monitoring that would suggest, okay, we now are finally seeing the inflection we want to put capital to work?
Albert Behler: Very good question, Vikram. And we were referring before to the big difference between bid and ask and the expectation. And I think – and I mentioned before, we are very careful, even so we have been historically very opportunistic in these kind of market cycles. So, our acquisition team is quite active evaluating what happens in the market. We, as you know, have mass funds that see what’s going on in the mass business. And I think there is more pain to come. And I would say the market is improving for making acquisition, if you want to be really – if you have the right capital structure, but you want to be very, very careful. It’s important to have long-term capital available, but it’s next to impossible to find the bottom. It’s – we are not stock pickers here, we are asset pickers. If we look at it and to find an asset that’s attractive for us, sometimes we have to look for years. And it has to be the certain location and it has certain characteristics, and it takes a long time. But from the valuation point of view, I think we are getting close to where it might make sense to put some money. But again, Paramount, as such, will not invest a lot of its own equity capital, but there are a lot of parties that have capital out there, and they are looking for these kind of opportunities.
Vikram Malhotra: Great. Thank you so much.
Albert Behler: You’re welcome.
Operator: Our next question today is from Derek Johnston of Deutsche Bank. Please go ahead.
Derek Johnston: Hey everybody. Good morning I guess or early afternoon. I just wanted to go back to TI, specifically in San Francisco, nice volume there was 77,000 square feet, but a term of 5 years is less than ideal for the TI package that they received at around 23% of starting rent. So, I was just wondering, is there something special about this deal, something in a one-off nature, or is this somewhat of the new norm for TIs in the San Francisco market?
Peter Brindley: No. Hi Derek, this is Peter. We were excited about the tenant. It was a shorter term deal. They intend to continue to improve their own space. We believe that Waymo is a candidate to potentially continue to expand within the building. We think those are productive dollars that they will likely use to improve the space. And we felt very good, I would say, about the overall economics of the deal, even though the concessions were slightly elevated relative to where we have been historically.
Wilbur Paes: Yes. The only thing I will highlight and maybe add to what Peter is saying, when the real estate business downtime is a killer, okay. When we look at the economics of transacting, you value typical downtime. We have done now de-risking a nice chunk of the Uber space ahead of its expiration. We have de-risked a nice chunk of the Clifford Chance space ahead of this expiration. We have de-risked the Credit Agricole space with 161,000 square feet with O'Melveny ahead of its expiration. And that is not talked about. That’s a tremendous amount of savings by eliminating downtime now on 300,000 square feet, 400,000 square feet of leasing activity over the last nine months.
Peter Brindley: And especially if you talk about assets that we own, those leases seem to be a little bit more lumpy. And the team is laser-focused on approaching these kind of expirations early and making plans for it.
Derek Johnston: Now, that’s very helpful. And specifically, what Peter said with the expansion opportunity with Waymo, it seems to make good sense. I guess second question is, we were pretty impressed with the leasing volumes this quarter, definitely beat our internal expectations here at DB. But I was also wondering why you guys kept the leasing guidance unchanged given the strength that you saw very early in the year.
Albert Behler: It’s very early in the year. You said it, and that’s why we didn’t change it. It’s – as I have mentioned a minute ago, these leases are very lumpy. And you can’t expect and the part is negotiated sometimes for month-on-month. It’s very hard to predict when the decision is going to be made. So, that’s why we are not doing it, changing things.
Wilbur Paes: And Derek, if you look at the guidance, I mean even if you were to annualize that number, it falls within the range. So, it falls slightly above the midpoint of where our current range is between 600,000 square feet and 900,000 square feet. And so as Albert said, we felt it was too early to adjust that at this point.
Derek Johnston: Okay. Fair enough. And lastly, look, just thinking out loud, I am not a bank analyst, but First Republic, usually, when you acquire something you acquire the assets and the liabilities. And I am just wondering if there is any recourse that you could potentially have if JPMorgan decides to not take the space? And are there any ways that you can perhaps recover a sizable lease expiration fee or any possible way to somewhat monetize that space, if you can’t even just force them to continue to occupy it and pay rent. Just once again, like thinking out loud, I don’t really know. This isn’t a traditional bankruptcy where you have bankruptcy court protection, right.
Albert Behler: Yes. Derek, it’s too early. This was two days ago to speculate what we can do, and I would clearly not do it on an earnings call, I think we should leave it at that.
Derek Johnston: Thanks guys. Appreciate it.
Albert Behler: Okay. You’re welcome.
Operator: Our next question today is from Ronald Kamdem of Morgan Stanley. Please go ahead.
Ronald Kamdem: Hey. Just a couple of quick ones. So, saw the 60 Wall and 111 Sutter was extended. Can you comment on 300 Mission Street. I think that was the other debt piece. How does that cause those conversations coming and so forth? Thanks.
Wilbur Paes: So, as you pointed out, 300 Mission matures in September of this year – oh, October of this year, and we are starting to launch a broader process in the market. We continue to have negotiations with the existing lender group as well. That asset is a terrific asset. It’s well-leased. It has no major near-term role, and it has plenty of debt coverage. I mean I would envision obviously us to be successful in refinancing that asset, albeit at north of where the current interest rate is.
Ronald Kamdem: Got it. Makes sense. And then just a bigger-picture question on San Francisco, we saw the same article on Visa and obviously, Autodesk earlier in the year. And I was just wondering, sort of Albert and team, what sort of needs to happen in San Francisco market for that market to bottom? Because if you sort of look at the Class A or B availability, if you look at sublease, they have been going in the wrong direction, right? Do you need something governmental? Just trying to figure out what stops sort of this Visa cycle? How are you guys sort of thinking about it? And then because it doesn’t seem like if you just wait and see everything is going to get better. It feels like there needs to be some sort of a catalyst. How are you guys thinking about that?
Albert Behler: Yes. I think it starts with – and then Peter will talk about Visa because that’s old news, sorry to say. But Peter will give you details. I had mentioned it in answering another question before a little bit. These markets go in cycles. And San Francisco is clearly behind New York with – in terms of back-to-the-office users. But it has picked up tremendously over the last couple of weeks. And I am confident that this will impact the market over the next 12 months. And you can also see, I mentioned it a minute ago that we have developed, you might know a condominium tower right on the Waterfront that had no sales activity for quite a long time, I would say, for 12 months. Now, we have sold a couple of – this is held in the fund, so not to confuse anyone. It’s held in one of Paramount’s funds and the public company has a very small interest in that fund. But it’s interesting to see that just recently, we have a couple of sales. There is activity. There is visitor activity. So, I think some of the news you are getting today is old news. And they – San Francisco is a market that goes down quickly, but then comes back also pretty quickly.
Peter Brindley: Yes. Ron, just to clarify, we did get another question on Visa. Just to clarify that lease was signed 2 years ago, and that occurred after we were unable to accommodate them at one market because one market is so well leased for roughly 400,000 square feet. So, I just wanted to clarify that. I know there had been something written about it most recently, but this is – this is old news. We do think the return to office has been significant. Companies have been very demonstrative about acknowledging the importance of in-person work specifically in San Francisco with tech companies. And we think that’s going to be a needle mover for us. Companies, of course, are focused right now on cost controls, capital preservation, etcetera. But the return to office is very significant. And as the economy starts to settle down and improve to some extent, we think that is the impetus to ultimately realize an uptick and increase leasing going forward.
Ronald Kamdem: Hi. Thanks so much.
Albert Behler: You’re welcome.
Operator: [Operator Instructions] Our next question today comes from Michael Manos of Green Street. Please go ahead.
Michael Manos: Hey guys. It’s Mike on for Dylan this morning. But just one quick question, kind of looking at the balance sheet, it seems like you guys have a large cash balance that has continued to grow and understand that looking at potential acquisitions as distress may come up in some markets you guys are looking to really mostly use JV capital and be mindful of your current cost of capital? And then also just kind of triangulating everything together, it seems like there is $15 million left on your current share repurchase authorization. So, just curious if you guys have any plan for that large cash balance.
Albert Behler: Let’s start with the buyback. We are discussing that with the Board on a quarterly basis. We are looking very carefully not to increase leverage. So, we try to do this leverage neutral. When it comes to acquisitions, and I talked about on this call a minute ago, it – we will clearly be very careful with our own capital because in times like this, you don’t know what happens with your assets. The company, you are right, the company has a clean balance sheet. We have no debt on balance sheet, and we have only non-recourse debt on assets and some assets have no debt at all. And we would like to keep it clean. We will clearly not go out there and acquire something with significant equity capital from PGRE. But if there is an opportunity, and we have been opportunistic in the past that’s how this company grew and rented fund business in the past. We will look at opportunities and we have joint venture partners who are interested to venture with us. They want boots on the ground that are experienced with difficult situations who are familiar with the leasing assets, and we will only look at Class A opportunities. I think quality, we talked about this a couple of times, quality is key. And that’s where tenants want to go to. And this is where the team will focus on that we will be very, very careful.
Michael Manos: Great. Thanks. That’s it for me.
Albert Behler: Thank you.
Operator: And at this time, showing no further questions, we will conclude our question-and-answer session. I would like to turn the conference back over to Albert Behler for any closing remarks.
Albert Behler: Thank you very much, all of you for joining us today. We look forward to giving you an update on our continued progress when we report our second quarter 2023 results. Goodbye.
Operator: The conference has now concluded. We thank you for attending today’s presentation. You may now disconnect your lines.